Operator: Good morning and welcome to the Franklin Street Properties Corporation Fourth Quarter 2018 Year End Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Carter, General Counsel. Please go ahead
Scott Carter: Good morning and welcome to the Franklin Street Properties fourth quarter and year-end 2018 earnings call. With me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeff Carter, our President and Chief Investment Officer; and John Donahue, President of FSP Property Management. Also with me this morning are Toby Daley and Will Friend who are Senior Vice Presidents and Regional Directors. Before I turn the call over to John Demeritt I note the following. Today's remarks that we may make about future expectations plans and prospects for the may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended December 31, 2018, which is on file with the SEC. In addition, these forward-looking statements represent the company’s expectations only as of today, February 13, 2019. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company’s estimates or views as of any date subsequent to today. At times during this call, we may refer to funds from operations, or FFO. A reconciliation of FFO to GAAP net income is contained in yesterday’s press release, which is available in the Investor Relations section of our website at www.fspreit.com. Now I'll turn the call over to John.
John Demeritt: Thank you, Scott, and good morning, everyone. On today's call, I'll begin with a brief overview of our fourth quarter and year-end results. Afterwards our CEO, George Carter will discuss our performance in more detail and provide some of his remarks. John Donahue, our President of the asset management team will then discuss recent leasing activities, and then Jeff Carter, our President and CIO will discuss our investment and disposition activities. After that we'll be happy to take questions. As a reminder our comments today will refer to our earnings release, supplemental package and 10-K, which were filed with the SEC and as Scott mentioned can be found on our website. We reported funds from operation or FFO of $24.5 million or $0.23 per share for the fourth quarter of 2018. And for the full year, we reported $102.5 million on FFO or $0.96 per share. Turning to our balance sheet at December 31, 2018, we had about $995 million of unsecured debt outstanding and our debt service coverage ratio was above 3.7 times. We have no debt maturities until November 30th of 2021 and 82% of our debt is at fixed rates. With our debt stack more termed out and our rates mostly fixed, we believe we have aligned our capital structure with the more long-term value add properties that we have in our markets. From a liquidity standpoint, we have $575 million available on our revolver at year-end and $11.2 million of cash on our balance sheet. So we have total liquidity of about $586.2 million at year-end. With that, I'll turn the call over to George. George?
George Carter: Thank you, John. Good morning, everyone, and again welcome to Franklin Street Properties 2018 Fourth Quarter and Year-End Earnings Call. In my segment of this morning's call I'll try to provide a little more color to my written commentary in yesterday's earnings release. We have talked before on previous earnings calls about our value-add strategy for our office portfolio and how the whole property portfolio both are more urban, vertical assets that we have transitioned into over the last five years as well as our remaining highly valued suburban assets are going through about a three year bulge of significant lease roll, a potential significant value-add re-leasing. The plan, the strategy was always to get to this time with the capability and financial resources to add this value in whatever way we believe would maximize the total value of our property portfolio at a stabilized leased occupancy of between 92% and 96%. Higher rent per square foot, longer leases, updated and amenitized buildings for today's office space users in the best locations with strong surrounding infrastructure and strong population growth are all part of the equation and goal. The bulk of this approximately three-year value-add leasehold opportunity encompasses 2018, 2019 and 2020. We believe this year 2019 will be the largest part of this effort and we believe we are on track to achieve success. While there are many metrics to help measure success for FSP in this endeavor, none right now is more important than leasing. Leasing activity within our property portfolio of 32 operating and three redevelopment properties continue to be solid during the fourth quarter of 2018 with approximately 398,000 square feet leased during the quarter. This leasing activity contributed to making 2018 a record year of leasing at FSP with approximately 1,681,000 square feet leased during the year. And that 2018 record comes off 2017 the previous year which was also a record; 2017 we leased 1,471,000 square feet; 2018 1,681,000 square feet. The last two years we have leased 32% of the total square footage in our portfolio. And as we go into 2019, we are continuing that momentum. We also continued to see increased leasing activity in our energy influence markets of Houston and Denver. The price of oil was particularly volatile over the past quarter and we believe that longer-term supply-demand pricing characteristics of that commodity obviously will be an important factor affecting future levels of office space absorption in those markets during 2019 and 2020. The increased price of oil over the last couple of years from the sort of $30 per barrel range to the current $50 per barrel range has certainly had a big positive effect on the energy markets. But maybe as positive, both the drillers, producers and other participants in that energy have dramatically lowered their breakeven costs and consequent activity in the energy field that has picked up dramatically over the last couple of years. Also the U.S. has now increased its export market dramatically for various U.S. energy products and the infrastructure, particularly at the Port of Houston in Houston Ship Channel is providing for many new jobs in that market. As anticipated, we did experience known and planned for tenant move-outs during the fourth quarter of 2018 including; Burger King at Blue Lagoon in Miami, SunTrust at Innsbrook in Glen Allen Virginia, and Red Cross at Forest Park in Charlotte North Carolina which reduced overall leased occupancy in our property portfolio. As 2019 begins, we're continuing our lease-up efforts at our approximately 130,000 square-foot redevelopment property known as 801 Marquette in Minneapolis which was approximately 37% leased as of December 31, 2018. In addition, we are now redeveloping an approximately 213 square foot property Blue Lagoon in Miami Florida and an approximately 62,000 square foot property Forest Park in Charlotte North Carolina for a total of approximately 400,000 square feet of redevelopment space in the aggregate. Similar to 801 Marquette, prior to beginning our redevelopment efforts both Blue Lagoon and Forest Park had been long term leased to single tenants. In addition both assets have been owned by us or our affiliates for an excess of 15 years and are anchored in excellent locations within their respective markets and have generated consistently strong cash flows. We believe that current market rents for these assets are meaningfully higher than the expiring single tenant rents. We also believe that our redevelopment efforts will provide us the opportunity to capture significant increased value for our shareholders through higher ongoing rental cash flows as we seek to achieve a strong long-term rate of return on our cost of redevelopment. Currently these three properties contribute no material rental income to the company. We are very confident we can achieve strong returns on capital invested in these redevelopments. These are properties that we know very well and have so much history and experience with. Over 4% of our total square footage is now being redeveloped and actively being marketed for lease. As 2019 begins we are optimistic about our ability to lease significant portions of our vacancy in our 32 operating properties and in our three redevelopment properties. And believe that successful results will mark the beginning of a longer term, more sustainable rise in operating performance and value creation within our property portfolio in 2020. The reduction to our dividend in 2018 allows the company to retain more operating cash flow to fund these anticipated increased leasing cost and capital expenditures during 2019 and 2020. To be clear, this three-year lease roll bulge in the FSP Property portfolio was planned for. As of year-end 2018, we have available between line of credit and cash over $585 million of liquidity to out-facilitate this leasing and property redevelopment. Our plan, our strategy was our always to get to this time with the capability and financial resources to add this value, in whatever way we believe would maximize the total value of our property portfolio, at a stabilized leased occupancy of between 92% and 96%. We are proud of our property portfolio and it's potential and confident that 2019 can continue our accelerating pace of leasing of the last two years. With those remarks, I will turn the call over to John Donahue, President of our Property Management Company. John?
John Donahue: Thank you, George. Good morning, everyone. The FSP operating portfolio was 89% leased at the end of calendar 2018. This represents a decrease from 90.5% at the end of the third quarter. As expected, three significant tenants in Miami, Richmond and Dallas representing 463,000 square feet vacated during the fourth quarter. As a result, the total portfolio, including the three redevelopment properties, was 86.4% leased at year-end. The total leasing achieved for 2018 set an annual record for the company at 1.68 million square feet. As George mentioned, FSP had two consecutive years with annual leasing records and a total exceeding 3.1 million square feet for the two years. While their remains work to do, we continue to make progress in the Sunbelt and Mountain West markets with three consecutive quarters of increased occupancy during 2018 and finished the year at 88.2% leased. Denver reached a five-year high at 90.7% leased occupancy and Houston also improved to 86% leased occupancy from 76.4% as of December 2017. We expect our properties in Denver, FSP's largest market, to improve leased occupancy again during 2019 and anchor the portfolio. Atlanta, FSP's second largest market, has made consistent progress in leased occupancy during 2018 and we expect that to continue. Dallas has been our strongest most consistent market and we expect the Dallas properties to continue performing well. Our properties in Houston and Minneapolis have minimal lease expirations over the next few quarters and therefore, we have an excellent opportunity to make leasing progress in both of those markets during 2019. As we mentioned last quarter, for the first time in multiple years, the fundamentals at FSP's Sunbelt and Mountain West markets in our portfolio appear to be lining up to move forward in the same direction simultaneously. Leasing activity has typically been slower in the first quarter every year, but we are pleased to report that leasing has been relatively strong during the first six weeks of 2019. There remains work to do, however, barring any surprises, we may finish Q1 with FSP's best first quarter total leasing results in the past seven years. With that, I will turn it over to Jeff Carter.
Jeff Carter: Thank you, John. Good morning everyone. At FSP, our strategy is to own high quality office properties within the Sunbelt and Mountain West, as well as select opportunistic markets, and to manage them to build long-term value for our shareholders. Our primary focus continues to be on enhancing value within our portfolio. Our value-add efforts will be led through leasing by addressing both current and newly available vacancies and through renewals of our existing tenant relationships. With U.S. employment and economic data continuing to display aggregate strength investment sales demand for high quality office properties remains highly competitive in terms of pricing. We believe that, the relatively low supply of available high-quality office properties for sale in strong locations, combined with available sales comp data from our markets illustrate that value is embedded within our portfolio. On the disposition and asset recycling front and as a recap of 2018 FSP received approximately $75 million in total proceeds from the sale of two managed properties known as 303 East Wacker in Grand Boulevard. The proceeds were utilized for debt reduction. As we begin 2019, we anticipate the potential for dispositions within our managed property portfolio versus our directly owned portfolio and in some cases FSP make this as an economic interest in such managed properties and we will continue to keep the market posted as appropriate. Any disposition proceeds received would be evaluated at such time for the highest and best return for our shareholders. FSP has worked to recast our office portfolio into one characterized by higher quality, with significantly more of an infill and urban orientation located within targeted higher growth potential Sunbelt and Mountain West markets. FSP broadly views, our directly owned portfolio as possessing upside potential for our shareholders through the achievement of leasing success. Our current properties under redevelopments serve has three examples in the Sunbelt markets of Miami at our Blue Lagoon Property, and in Charlotte at our Forest Park property as well as finalizing the lease up of our redevelopment downtown Minneapolis of 801 Marquette. On the acquisition front, FSP continues to monitor and track opportunities within our markets. We continue to favor high-quality infill and urban properties, within these markets that possess the ability to credibly add value over the short intermediate term. And with that, I thank you for listening to our earnings conference call today. And at this time, we'd like to open-up the call for any questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Dave Rodgers with Baird. Please go ahead.
Dave Rodgers: Yeah. Good morning, everyone. Maybe first question, I'll start with George. On the redevelopment side given these higher quality assets like Blue Lagoon that you have now going into redevelopment a couple of questions around that. One is going to how much do you expect to spend on redevelopment? Is it more kind of deeper leasing cost? Or do you feel like you've got some bigger work to do to the assets? Maybe second question is what were you seeing on the leasing front and made you take them into redevelopment versus kind of just taking them out of the market? And then the last question, maybe for John Demeritt just on the redevelopment side would be, are you capitalizing OpEx and interest costs against these? Or will you just continue expense as they are in redevelopment?
George Carter: I'll start here Dave then, I'm going to turn over to John Donahue to answer some of your questions about -- specific questions about the properties. But in both the Blue Lagoon case and the Forest Park case, we are seeing rent levels surrounding properties. I mean, properties right next door, much higher than the expiring single tenant rents, and the areas are only getting better. Blue Lagoon particularly is well-suited at the office park there. The location is particularly well suited to airport access to -- for office space to Latin America. So the vision of redeveloping those properties is very strong to try to capture that upside. On Blue Lagoon, we have a much larger CapEx project prior to leasing than on Forest Park, and I'll let John Donahue to tell you a little bit about that.
John Donahue: Sure. Good morning, Dave. For the redevelopment properties, you probably haven't seen it yet, but in our supplemental, we have added a page, you'll find on page 23 that will give you some guidance on our expectations of what we're anticipating the investment will be and the timing and such. We're seeing very good interest -- solid interest in Forest Park and Blue Lagoon, as George mentioned. At Forest Park, that property has been a single tenant with the Red Cross for many years and needs to be refurbished. Although, it's ideally a single tenant building, it can be multi-tenanted. We believe that the cash rents could be in the 10% to 20% range higher and that that will most likely be repositioned in the first six to nine months of 2019. And Blue Lagoon, that property, we have a very wide range of prospects in regards to size. And so depending on what route we go, we may or may not need to add a level to the garage. If we multi-tenant that property with 10 to 15 tenants, for example, we don't believe that we will need additional parking. But if we lease that building to an anchored tenant or a single tenant with the way the world has gone with densification, we may need to add a level to the garage. So we've been going through that process. We did have a settlement with Burger King to pay for the restoration, which we're going through now. We have been actively making progress on that over the last couple of months and we expect to complete that here over the next quarter or two. And then depending on the garage situation in which way we go with tenancy that could take a little bit longer. But the activity is great. We've got anywhere from a single tenant down to half of a floor. We're trying to decide how to stack the building, but we're really encouraged where the market rents are and look forward to sharing more of that over the coming quarters.
John Demeritt: David this is John Demeritt. Just want to respond to your other question. We'll follow the accounting literature on capitalizing expenses and redevelopment costs at interest when we go through the project, but more significant of them is obviously Blue Lagoon.
Dave Rodgers: Great, that's helpful. And then maybe one follow-up for Jeff on the assets sales side. It sounds like you were anticipating -- or maybe to ask in a different way what is the guidance assume regarding Monument and Energy Tower in terms of kind of the interest income for the year and for the potential sale of those two assets?
Jeff Carter: Hi Dave. The -- our guidance specifically excludes disposition plans and so on that front that's on that part. And for dispositions we are in a price discovery process on Energy Tower. And so I'm not going to comment just for competitive reasons on that process because we're in the midst of it, but we will keep the market posted as we go.
Dave Rodgers: Okay, great. Thank you.
Jeff Carter: You're welcome.
Operator: [Operator Instructions] The next question comes from John Guinee with Stifel. Please go ahead.
John Guinee: Great. Thank you very much. First question, I guess, John Demeritt, 4Q cash FFO was $24.5 million and at $0.20 the midpoint of 1Q 2019 guidance, you drop down to $21.5 million. So, there is a $3 million quarter-to-quarter drop-off. Can you touch base as to what the major components of that might be?
John Demeritt: Sure John. I think the most significant is the move-outs we had in Q4. We had a good amount of restoration fee income from Blue Lagoon which obviously we won't have in first quarter next year.
John Guinee: How much?
John Demeritt: I don't have the number off top of my head John. It was probably $2 million or so would be I guess. So, I think that's -- those would be the primary factors. The three move-outs SunTrust is out. They had a move-out in -- that was at Innsbrook right? SunTrust is Innsbrook and Blue Lagoon and also Forest Park and Fannie Mae moved out. So, those move-outs would hit Q1.
John Guinee: Okay. And then looks like you've got this year Petrobras and Northrop Grumman expiring at the end of this year. Any thoughts on what's going to happen to Petrobras and Northrop Grumman?
John Donahue: Hey good morning John, it's John Donahue. We -- yes, in calendar 2019 at the end of the year November, Petrobras is expiring. They have publicly announced that they're repositioning with a new merger and we expect them to downsize perhaps significantly. So, we're still engaged and looking to secure them for a portion of their space but it will be a downsize. Northrop Grumman is at the first of the year so that won't hit in calendar 2019, but it will be the first quarter of the next year. And they're a government contractor, it's highly specialized space and skip pace and whatnot and they have tended to get a last minute contract extensions, if you will, so we don't really know if they will renew or vacate. We're planning on them vacating and working on a repositioning of that property if that's the case but we don't have any news yet.
John Guinee: Okay. And then looking at your redevelopment budget here looks to me like you spent or will spend $220000 -- $220 a square foot on Marquette in Minneapolis, about a $105 a square foot in Blue Lagoon and about $56 in Forest Park. Does that include TIs and leasing commissions? What's included in that number and what's excluded?
John Donahue: It's John Donahue again, John. Yes that number is all inclusive of all costs. That is our anticipated total investment in repositioning, including all leasing cost to stabilization.
John Guinee: Are you capitalizing operating expenses also?
John Demeritt: Yes, this is John Demeritt. We will do that. We will follow the accounting literature on that John, but we would.
John Guinee: You will, okay. Got you. Okay, thanks a lot.
Operator: The next question comes from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good morning guys. As a follow-up to John's question, with the redevelopments being all-in costs does that sort of puts you back on the -- combined tenant improvement leasing commissions and non-investment CapEx in 2018 were $53 million $54 million hit to AFFO where it was $43 million, $44 million in 2017. Does that pull you back down to sort of -- that sort of low to mid-40s number? Or you expect that other stuff and other leasing with Petrobras and Northrop and all this other stuff is going to keep you at the sort of elevated hit to AFFO from those line items?
John Demeritt: This is John Demeritt. On that one Rob we don't really give the AFFO guidance, so I can't really quote a number of the CapEx next year, but we will expect it to be higher where we expect to do a lot of leasing.
Rob Stevenson: Okay higher than 2018?
John Demeritt: Yes.
John Donahue: Rob, it's John Donahue. I would add that, we would be very pleased if it was higher because that means we're doing a lot of leasing. So I echo what John said and we're poised to do just that so...
Rob Stevenson: Okay. I just didn't know whether or not enough of that was wrapped up in the redevelopment cost that it was going to pull the -- even though the number would be high on an apples-to-apples basis. It's accounted for differently because it's in the redevelopment bucket rather than just straight out leasing bucket and so that it wouldn't hit AFFO in the same manner and I just wanted to clarify that?
John Demeritt: Some of that Rob is true. It wouldn't -- what we call first generation our investment capital doesn't run through the AFFO number. But I don't have a distinction between that and second generation stuff that does. So that's why I said I can't really forecast. We don't forecast what AFFO is going to be.
Rob Stevenson: Okay. And then also, other than the Petrobras and the Northrop any additional known or likely move-out from the portfolio over the next couple of years at this point?
John Donahue: Rob, it's John Donahue. If you look at, I believe it's page 19 for our major tenants. If you look at Page 19 of our supplemental for major tenants, we don't have any other tenants on that list that are definitive announced move-outs. I would say that there are some downsizings expected over the next year or 2. The IRS expires in 2020 at Broadway and we are very close to extending them further out for another 10 years and that would be a slight downsizing so that is likely to happen. We also know that the last tenant on that list Denbury is a known vacate, but that space has been a 100% re-leased to WorldVentures. And then there is a couple of others that we've been working with that will downsize by a floor or two but extend their leases out. So that's what we know now. We'll keep you abreast.
Rob Stevenson: Okay. And then given that the Petrobras and Northrop are at the end of the year, how do you guys think about same-store cash NOI growth in 2019 for the operational properties, because now you've moved the properties that had the biggest hit probably in 2018 into the redevelopment bucket? And so I mean, at this point, are you anticipating the same-store NOI growth for the 32 operating properties in 2019 is going to wind up being positive sort of negative -- slightly negative? And how does should we be thinking about that?
John Donahue: Well I think that it will be likely that we make progress incrementally quarter-to-quarter. So we have been viewing Q1 2019 as the likely low point of physical occupancy. And so that compared to the prior year's first quarter may not look great. But as a whole I think your estimate is probably accurate. We believe that that will improve as the year goes on.
Rob Stevenson: Okay. And then just to clarify that for the occupancy low point, is that just the 32 operating properties? Or is that including the three redevelopments as well, because obviously the three redevelopment properties are going to take you some time to do that. Is that for the 32 operating assets that are roughly 90% leased now as well?
John Donahue: Yes.
Rob Stevenson: Of course, this is provocatively.
John Donahue: I believe so. Yes.
Rob Stevenson: Okay. Thanks guys. Appreciate it.
Operator: The next question comes from Craig Kucera with B. Riley FBR. Please go ahead.
Craig Kucera: Hi, good morning guys. I want to step back and talk about 801 South Marquette kind of in the context to move forward which redeveloping these new properties. I think you began talking about it in 2015 and you finished it in 2017 and I think the expectation was it would stabilize in 2018 and that seems to have slipped now to 2019 last year. Now we're talking 2020. Is there anything different about these new projects should do and that gives you the confidence that they're going to stabilize at some point in 2020 or...
John Donahue: Good morning, Craig it's John Donahue. I think each redevelopment stands on its own and it's a much different story. As you know, the 801 Marquette property is very unique. It's a 4-story building unique experience brick and timber in the middle of the city. We are very bullish on that property. I think it's terrific and there's been terrific activity. The way in leasing the signature space in the building which is the top two floors which ideally would be one tenant has been a bit elusive in finding the perfect fit. And so we want to find the right tenant that's going to be able to live there for a long time and have some room to grow. We do have the sister building at with room in South 8th, but it just hasn't happened quite as fast as we had liked -- would have liked but we're still very bullish on the property. Transitioning to Forest Park in Charlotte that is a much different suburban market. That is a market that is heavy parked and dense and our property is ideally positioned. Rents are moving up and we've got activity for either multi-tenant or single tenant for that building. So, we wouldn't expect that to take very long. We'll see but it's just not -- it's an apples and oranges compared to Marquette. And then Blue Lagoon is a Class A building in Waterford Office Park exceptionally strong market, great building. And we're seeing as I said all different kinds of size prospects with rents that we believe will be higher than what we just had. How long it takes? Really is a fundamental of demand, the size of the tenants at the time and so we think that we'll make progress on Blue Lagoon in 2019, and look to stabilize it in 2020. Again I know you guys probably haven't seen it yet but page 23 of the supplemental will give you a lot of help and guidance on those redevelopment properties.
Craig Kucera: Right. And just circling back to that, I think Blue Lagoon was most recently paying about $2,350 and Forest Park was paying $1,550, you mentioned that market rents are a lot higher. Can you give us a sense of what the expected rental increase is? Or if you want to think of it differently what's your expected incremental return on investment is going to be for what you're putting into those properties?
John Donahue: Again, it's John Donahue. Not sure if I can answer your question exactly. But in regards to the cash rents that were being paid by Burger King, I think they are being skewed by some termination payments and settlements over the last quarter or two. The rents that I have that we ended with at Blue Lagoon were in the $20 range, and we believe that we can improve upon that. Certainly asking rents are 10% to 20% higher than that, in some cases even higher than that in some of the newer buildings. We believe that on a net GAAP basis, we'll do better as well. Forest Park, I believe those cash rents were in the $11 range. Speaking from memory not sure if that's exactly right. And we're looking at $13 to $14 for Forest Park. Do that answer all your questions Craig, or do you have something else?
Craig Kucera: Yeah, I have one more. I guess a couple of these buildings, the single tenant buildings were likely to vacate, and I guess what was the process of -- did you consider selling the assets, so there wouldn't be such a significant impact to your projected FFO for next year? Or did you just think there was too much value in them to hang on to them?
Jeff Carter: Hi, Craig, this is Jeff Carter. We did -- we considered all avenues on these buildings and as John has alluded to and as we look across our portfolio when we look at tenant demand and we look at locations of these properties and the rents that we think we can achieve and the value that we think is embedded in these assets through our redevelopment and leasing efforts that we think can accrue to the shareholders. We thought that the investment into these properties in getting that upside that we see was the right track to take for the company and for the shareholders.
Craig Kucera: Okay, thanks.
Jeff Carter: And additionally, I was just going to add Craig if you're still there that the -- on the acquisition front, when you look at the total returns and you compare investments in these existing assets versus what's available for acquisition, it would be very difficult to replicate the returns we see as possible at these redevelopment assets.
Craig Kucera: Thank you.
Operator: [Operator Instructions] The next question comes from John Kim with BMO Capital Markets. Please go ahead.
John Kim: Thank you. George you mentioned in your prepared remarks achieving stabilized occupancy of 92% to 96%. I think you gave a similar range last year at this time. But with near-term move outs and 25% of leases expiring over the next couple of years, when do you think you'll be able to achieve this 92% to 96% target?
George Carter: Well, to be honest, the answer is, we don't know because it depends on what we see. We believe that this year will be as John Donahue said a trough of our leased percentage. And that we will rise from here. I think from a view of occupancy versus leased occupancy -- actual physical occupancy versus leased occupancy, I think you are lagging easily six to 12 months between leased occupancy and physical occupancy. And the physical occupancy is obviously what generates the FFO returns. So we see occupancy rising steadily and we think the trough actually in our occupancy will be first quarter. So we hope to be -- we were in the 90s as you know at the end of 2018. We certainly hope that it'll be in the 90s at the end of 2019. How we deal with some vacancy that will happen at the end of 2019 and at the start of 2020, well I think they pay how quickly we can move up from that 90% up. So we'll just have to see.
John Kim: So offsetting rising occupancy you have leasing costs and then redevelopment costs that you now have going forward. How tight are you to the current dividend levels and what's your appetite for another cut to retain more capital?
George Carter: All right. I have to say listen because it's correct that is that the dividend level is decided every quarter by our Board of Directors and can be raised or lowered or maintained by the Board of Directors every quarter. However, I can tell you a lot of thought at work was put in up from other people for our board to set the current dividend level where it is for this three-year lease roll situation that we're in and we think opportunity. So I can tell you that the Board is very comfortable that at our current dividend level and our current capital structure that we are very comfortable with the current dividend level to achieve what we need to achieve over the next three years. And I can also tell you that, as we get through 2020 and achieve what we believe we can achieve we should be moving the needle on all the metrics much higher and start to have room for consideration of increased dividends in the coming years after we achieve this leasing. But the current level I think has been well-thought out and the Board of Directors is fine
John Kim: Okay. And then I just had a couple of follow-ups. On 801 Marquette it's 37% leased as of fourth quarter what was that number in the third quarter?
John Donahue: John, its John Donahue. I'm speaking from memory. I don't have my third quarter report at my fingertips but I believe that was in the teens was it 17% or so 19% maybe.
George Carter: There was one big lease signed in the late November I think right?
John Kim: 15%, Thank you.
John Donahue: I think it was about 14%.
John Kim: Okay. And so based on your new disclosure on page 23 you expect that to be at or above 90% leased by the third quarter of this year?
John Donahue: Yes. That's what we are targeting.
John Kim: And then for John Demeritt. Just on your answer to few of the other questions like capitalized interest is capitalized interest part of your current guidance for 2019?
John Demeritt: Yeah. We would have factored that in.
John Kim: Okay. Great. Thank you.
John Demeritt: Great, Thank you.
John Kim: Okay.
Operator: The next question is a follow-up from John Guinee with Stifel. Please go ahead.
John Guinee: Great. Thank you. First it looks like your debt on Energy Tower is about $48 million and $147 a square foot. Are you in a first debt position on that? And is there any principal risk to not getting fully repaid at $48 million?
George Carter: Hi, John, John this is George. We are in a first and only mortgage position on that and we believe that the value of that building is substantially higher than the mortgage.
John Guinee: Great. Okay. And then second Jones Day is a 140,000 square feet in a couple of years. Where are they? Which building are they in? And I'm assuming you expect to downsize there as the case with all law firms
Toby Daley: Hey, John, it's Toby Daley here. They're at Pershing Park Plaza in Midtown Atlanta and it's been in the press there. They're doing what they should be doing is shopping the market. And they're looking at mostly it appears new construction offerings in the Midtown market. And right now they're -- it's possible that they could go to a new development, but their timing would be extremely tight. And the talks that we've had with them today would not involve any downsizing. So the question is what are they going to decide to do?
John Guinee: Okay. And then I guess…
Toby Daley: We'll know -- we'll probably know by this time next quarter.
John Guinee: Then it looks to us back of the envelope that your net debt-to-EBITDA for 2019 will be over seven times and that your leverage at the current share price is well above 50% relative to total enterprise value. Any willingness to a term out or leverage up any further?
John Demeritt: Hi. This is John Demeritt, John. I think it's unlikely we would lever up further. We may look at fixing rates when some of the pieces of debt we have mature or doing a swap on some of our variable debt that we have right now. I think on the net debt-to-EBITDA ratio that you mentioned it is -- it popped over suddenly at year-end, because the EBITDA was down in Q4. I think, you're probably right in Q1 or Q2, but we'll see how the leasing does in the back half of the year, and I think we'll see some improvement on that when we get into the back half of next year. That's depend on leasing, and if Energy Tower does get repaid that would be a change too.
John Guinee: Great. Thank you.
John Demeritt: Sure.
Operator: Okay. This concludes our question-and-answer session. I would like to turn the conference back over to George Carter for any closing remarks.
George Carter: Thank you all for participating in the earnings call. We look forward to speaking with all of you next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.